Operator: Ladies and gentlemen, thank you for standing-by. Welcome to the first quarter 2010 results conference call. At this time, all participants are in a listen-only mode. (Operator instructions) This conference call contains forward-looking statement within the meaning section of 21(e) of the Securities Exchange Act of 1934, as amended, relating to the partnership, future business expectations and predictions and financial conditions and results of operations. These forward-looking statements involve certain risks and uncertainties. The partnership has listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements which are referred to as cautionary statements in its earnings press release which can be viewed on the company’s website. All subsequent written and oral forward-looking statements are attributable to the partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements. I would now like to turn the conference over to our host, Mr. Davin D'Ambrosio. Please go ahead.
Davin D'Ambrosio: Thank you, Julia, and good morning everyone. Welcome to Suburban’s fiscal 2010 first quarter results conference call. I’m Davin D'Ambrosio, Vice President and Treasurer at Suburban. Joining me this morning is Mike Dunn, President and Chief Executive Officer and Mike Stivala, Chief Financial Officer. The purpose of today's call is to review our first quarter financial results along with our current outlook for our business. As usual, once we have concluded our prepared remarks, we will open the session to questions. However, before getting started, I would like to reemphasize what the operator has just explained about forward-looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward-looking statements is contained in the partnership's SEC filings including its Form 10-K for fiscal year ended September 26th, 2009 and its Form 10-Q for the period ended December 26th, 2009, which will be filed by at the end of business today. Copies of these filings may be obtained by contacting the partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures as well as a discussion of why we believe this information to be useful in our Form 8-K furnished to the SEC this morning. The Form 8-K can be accessed through a link on our website at suburbanpropane.com. At this point, I would like to get started by turning the call over to Mike Dunn. Mike.
Mike Dunn: Thank you, Davin, and thanks everyone for joining us this morning. First quarter of fiscal 2010 presented several challenges for our operating personnel, particularly when compared to the operating environment from a year ago. Nonetheless, we are pleased with our earnings with the first quarter of fiscal 2010 and in fact, the adjusted EBITDA of $66.2 million was slightly ahead of our internal expectations for the quarter. Some of the challenges faced in the quarter included a dramatic rise in the commodity prices, continued adverse effects of the economy on our volumes and a weathered pattern that produced significantly warm of a normal weather during a six weeks stretch from the beginning of November through the middle of December. This compares to a prior year first quarter that benefited from both colder than normal weather and decline in commodity prices which subsequently resulted in increased margins. Our flexible cost structure coupled with our ability to manage margins involved our commodity price environment helped us handle these challenges effectively. We are also pleased to deliver our 15 consecutive increase in our quarterly distribution rate to an annualized of $3.34 per common unit. In a moment, I will comment on our outlook for the remainder of the fiscal year, however, at this point, I’d like to turn the call over to Mike Stivala to discuss our first quarter results in more detail. Mike?
Mike Stivala: Thanks, Mike, and good morning everyone. As Mike indicated, despite the decrease in adjusted EBITDA compared to the prior year first quarter, these results were slightly better than our first quarter plan, however, for different reasons than we expected. As we reported throughout the prior year, the first six months of fiscal 2009 benefited from a rapid and dramatic decline in wholesale propane prices that resulted in increased margins which we did not expect to be sustainable. The fiscal 2010 first quarter produced the opposite commodity price environment with steadily rising prices represent a challenges in managing unit margins. Nonetheless, overall, our unit margins came in relatively flat to the prior year first quarter. However, total gross margins were negatively affected by lower volumes to the economy and an unfavorable weather pattern. As we discussed our first quarter results to be consistent with previous reporting, I am excluding the impact of the $3.4 million unrealized non-cash loss applicable to FAS 133 accounting compared to an unrealized gain of $15 million in the prior year first quarter. EBITDA for our first fiscal quarter totaled $66.2 million, a decrease of $16 million compared to $82.2 million for the first quarter of fiscal 2009. Net income totaled $51.8 million or $47 per common unit for the first quarter of fiscal 2010 compared to net income of $65.7 million or $2 per common unit in the prior year first quarter. Retail propane gallons sold in the first quarter of fiscal 2010 decreased 9 million gallons or 9% to 90 million gallons from 99 million gallons in the prior year quarter. Sales of fuel oil and other refined fuels decreased 3.6 million gallons or 22% to 13.1 million gallons compared to 16.7 million gallons in the prior year. The primary factor contributing to the volume declines continuous to be the adverse effects of the economy, particularly on our non-residential customer based and to a lesser extent ongoing conservation. Non-residential customers accounted for approximately 64% of the overall volume shortfall in the propane segment compared to the prior year. From a weather perspective, average temperatures across the partnership service territories in the first quarter of fiscal 2010 were 2% warmer than normal temperatures in the prior year first quarter. However, as Mike pointed out the timing of the weather was such that during the six week stretch from early November 2009 through mid December, average temperatures were 13% warmer than normal and 15% warmer than the prior year, further contributing to the value decline. In the commodities markets, average posted prices for propane and fuel for the first quarter of fiscal 2010 increased 36.5% and 8.3% respectively compared to the prior year first quarter and our sequential basis, propane prices increased 25.7% over the average prices in the fourth quarter of fiscal 2009. Today, spot propane is trading at about $40 for gallon basis in Mount Bellevue and spot heating oil is trading around $2. Total gross margins of $154.5 million for the first quarter of fiscal 2010 were 19.6 million or 11% lower than the prior year of $174.1 million primarily as a result of lower volumes. Combined operating and G&A expenses of $88.2 million were $3.6 million or 3.9% lower than the prior year, primarily due to lower variable compensation attributable to lower earnings as well as continued savings in payroll and benefit related expenses as well as lower viable costs. As for bad debts, we remain diligent about managing our receivables, especially considering the current economic environment. Our overall bad debt expense as a percentage of revenues has remain consistent with historical levels and our agent profile has actually improved, thanks to the efforts of our field and central support employees. With the steps taken during fiscal 2009 to reduce indebtedness by $183 million, our interest expense for the first quarter of fiscal 2010 was $2.2 million or 23.6% lower than the first quarter of the prior year. Total capital spending for the quarter was $4.5 million which included $1.2 million of maintenance capital. Turning to our balance sheet, we continued to fund all working capital requirements with internally generated cash. As we move through a historically high period of seasonal working capital needs, we once again have not accessed our bank revolver. And in fact, we ended the quarter with more than a $115 million of cash-on-hand. Our financial position remains very strong and in fact, our leverage profile at quarter end was 1.57 times. We are confident that we are well positioned to navigate the challenging operating environment, Mike.
Mike Dunn: As announced in our January 21, press release we were extremely pleased to declare our 15th consecutive increase in our quarterly distribution, which equates to an annualized rate of $3.34 per common unit. This distribution will be paid on February 19 to our unit holders of record as of February 2. This represents a 3.1% growth over the prior year first quarter and our distribution coverage at the end of this quarter was 1.59 times. Looking ahead to the remainder of Fiscal 2010, the unpredictable commodity price environment combined with challenging economic conditions will no doubt continue to test our field personnel when managing volumes and margins. On the other hand, our focus on growing our customer base has produced positive results during the first quarter of this fiscal year. Additionally, the colder than normal weather pattern that began in mid-December and extended into the first half of January, provided some positive momentum heading into the second quarter. With our strong balance sheet, efficient operating platform and flexible cost structure, we remain confident in our ability to effectively manage in today's challenging business environment. At this point, I would like to take this opportunity to acknowledge the ongoing efforts of all of our dedicated employees, who continued to provide outstanding customer service and remain focused on driving efficiencies in all aspects of our business. And as always, we appreciate your support and attention this morning, I would now like to open the call up for questions. Julia, can you help us?
Operator: (Operator instructions) and our first question will come from the line of Darren Horowitz. Please go ahead.
Darren Horowitz – Raymond James: Good morning, guys. How are you?
Mike Stivala: Good morning, Darren.
Darren Horowitz – Raymond James: Hey, Mike, first question and of course, I realized that the commercial industrial demand is going to remain a wild card, but is the soft economy continuing to have the impact on current volumes here in the fiscal second quarter to the same magnitude that it impacted volumes in the fiscal first quarter?
Mike Dunn: Possibly not with the same magnitude, I think in the first quarter. We unlike others we can experience any of the agricultural drive but I think from an economic perspective, the commercial numbers are going to be about the same as they were the first quarter as well as the second half of last year.
Darren Horowitz – Raymond James: Okay. Shifting over to the residential side of the business, how much is the continued conservation impact in volumes? Have you seen incremental conservation or is it really just a continuation of the existing trend.
Mike Dunn: A lot of it depends obviously on the prices and commodity but the trend seems to have tapered of some and its probably a little lower last year, I think we could say that you are probably looking at another 45 to 5%, today is probably more accurate.
Darren Horowitz – Raymond James: Okay. And then just one big picture question. Can you give us an update on the competitive landscape as it relates to any potential propane acquisitions and then secondly, any new developments in your consideration of possibly moving the model towards a fee-based midstream asset.
Mike Dunn: I mean as far as the competitive land scape, we are looking as others and lot of these small operators certainly looking at businesses that would fit our footprint that’s an on going than to the other couple of things going on. Hopefully, we will mature to something positive, as far as moving into the midstream sector. Obviously, with what is going on and the refinancing that needs to be done over the course of the next year or so, we still believe there may be opportunities in that line as well.
Darren Horowitz – Raymond James: Okay. Thanks guys. I appreciate it.
Mike Dunn: Thank you, Darren.
Operator: Thank you. And our next question will come from the line of Ron Londe. Please go ahead.
Ron Londe – Wells Fargo Securities: Thank you. Could you just – could you give us some insight into what your experience with margin have been since the end of calendar 2009 and I noticed in your press release that you talked about rising commodities prices were not yet reflected in the cost of products sold. Is this going to put some pressure on second quarter margins?
Mike Stivala: Well, as you know Ron, we price – try to price of a replacement cost so margins versus on hand cost where it differs quarter were about par with last year. Okay. However, when we measured against the replacement cost, you were significantly lower. However, the market has depth as well as gone back up so you had an opportunity to where you were able to get your margins or your pricing better in line with today’s market condition. But I would suspect margins to be reasonably close for last year.
Ron Londe – Wells Fargo Securities: Okay. Also, you’ve mentioned, during last question about growth on your customer based, can you give us a little more insight into that.
Mike Stivala: Yeah. As you know, we have our own build internal systems of measuring customer account and using those same standards year-over-year, we’ve actually seen a small for about 1% customer, customer growth and that’s organic.
Ron Londe – Wells Fargo Securities: Okay. Thank you.
Mike Stivala: You are welcome.
Operator: Thank you. And our next question will come from the line of Michael Cerasoli [ph]; please go ahead.
Michael Cerasoli: Thanks. Just a quick question. Do you guys see any chance of there will be some more efficiency gains going forward or do you kind of, Dunn, had already in the past few years.
Mike Dunn: No. I mean, we are always going to have efficiency gain because you are going to continue or improve your routing systems but I mean the numbers aren’t going to be mind boggle.
Michael Cerasoli: Okay. That’s it thanks.
Mike Dunn: You’re welcome. Thanks, Michael.
Operator: Thank you. And at this time, there are no further questions coming from the phone line.
Davin D'Ambrosio: Good. So with that, I would like to say thanks to everyone again for joining us today and we look forward to speaking to you next quarter. Thank you, Julia.